Operator: Good day and welcome to the Q3 2016 DHT Holdings Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to Eirik Uboe, Chief Financial Officer. Please go ahead, sir.
Eirik Uboe: Thank you. Before we get started with today’s call, I would like to make the following remarks. A replay of this conference call will be available at our website, dhtankers.com, through November 9, 2016. In addition, our earnings press release will be available on our website and on the SEC’s EDGAR system as an exhibit to our Form 6-K. As a reminder, on this conference call, we will discuss matters that are forward-looking in nature. These forward-looking statements are based on our current expectations about future events, including DHT’s prospects, dividends, share repurchases and debt repayment; the outlook for the tanker market in general; daily charter hire rates and vessel utilization; forecasts of world economic activity; oil prices and oil trading patterns; anticipated levels of newbuilding and scrapping and projected drydock schedules. Actual results may differ materially from the expectations reflected in these forward-looking statements. We urge you to read our periodic reports available on our website and on the SEC’s EDGAR system, including the risk factors in these reports, for more information regarding risks that we face. I am joined today by DHT’s Co-CEOs, Svein Moxnes Harfjeld and Trygve Munthe. With that, I’ll turn the call over to Svein.
Svein Moxnes Harfjeld: Thank you, Eirik. Good morning and good afternoon and thank you for joining the DHT third quarter 2016 earnings call. We will, during the call, go through our operational and financial highlights, capital allocation, financing updates and cash breakeven. First, I will touch on earnings. Our spot VLCCs earned on average $20,300 a day, a number that is well short of what we would expect on a relative basis. Our spot performance was influenced firstly by our tactics of 16 short when we were coming out of the second quarter. This tactic was wrong and did not pay off. We then took advantage of the lackluster market’s advantage to traverse the dry-dockings of some of our ships, which involved positioning the ships in question. This tactic was right and the ships are now out in a much healthier spot market. However, we benefited from our time charters, which ensured average earnings on our VLCCs during the quarter of $29,700 a day. Year-to-date, our spot VLCCs have earned $45,400 a day on average. And for the current quarter-to-date, we have booked 48% of our VLCCs spot capacity at $24,000 a day. We have entered into an agreement to sell the 2011 built VLCC, DHT Chris, for $23.7 million. The vessel is sold to a storage buyer and will, as such, retire from the trading fleet. Chris sold with a third special survey and drydock view. Hence, we will not spend the planned CapEx of about $2.5 million. This needs to be taken into consideration when comparing the price with broker estimates. We expect to deliver her over the next couple of months. And the sale comes at a time when we are at the tail-end of our rebuilding program and fleet renewal. We will now go through the income statement. With TCE revenues of $50 million, normalized EBITDA over some $30 million and net income excluding impairment of about $1 million, it was basically a breakeven quarter. However, the decline in asset values and share prices year-to-date presented an indication of impairment. As such, we conducted an impairment test in accordance with IFRS rules, resulting in a non-cash impairment charge of $76.6 million. Including the non-cash impairment, our net income was negative $75.7 million, equal to negative $0.81 per share. When determining the dividend for the quarter, we have elected to look beyond the financial results and will pay a cash dividend of $0.02 per share on November 23 to shareholders of record of November 16. Capital allocation, we have updated our capital allocation policy as follows. DHT intends to return at least 60% of its ordinary net income, adjusted for non-recurring items, to shareholders in the form of quarterly cash dividends and/or through buybacks of its own securities. Further, DHT intends to allocate surplus cash flow after dividends and/or security buybacks to acquire ships or for general corporate purposes. The extent and allocation will depend on market conditions and other corporate considerations. The updated policy includes buybacks of our convertible bond and our common in the 60% return to shareholders. We believe the updated policy to be in the best interest of the company and its shareholders. We will apply the updated capital allocation policies starting with the fourth quarter of 2016. And then over to Trygve.
Trygve Munthe: Thank you, Svein. Let’s then switch to the balance sheet. We believe that our balance sheet remains robust. Our cash balance is up by $6.5 million since the end of the second quarter, despite an adjusted net income of just $1 million for the quarter and $37 million paid in dividends and debt repayments during the quarter. Leverage is comfortable with interest-bearing debt to total assets at 49.7%. Based on ship broker valuations at the end of the quarter, the ratio is 53.9%. On to financing updates, during the quarter, we refinanced four of our older ships, the DHT Ann, DHT Chris, the DHT Cathy and the DHT Sophie. These were previously financed by RBS and that facility would have come to final maturity in July next year. The new loan is in the same amount as the old RBS facility, $40 million. The interest rate in the loan is 275 basis points over LIBOR. Annual installments are $8.25 million for the 4 ships combined. And the loan runs until August 2019. With the sale of the DHT Chris, as I mentioned, the outstanding loan drops to $28 million, and the annual installments for the 3 remaining ships will total $5.3 million per year. We are pleased with this refinancing as it increases cash flow predictability. And we think it shows strength that DHT can secure conventional bank financing at competitive terms for 15-year-old ships in today’s environment. Additionally, during the month of October, we signed a $50 million revolving credit facility with one of our existing lenders. The facility has a tenor of 5 years, is secured by two of our currently unencumbered VLCCs and is priced at 250 basis points over LIBOR. We think this is an attractive facility for DHT. It gives us great flexibility and muscle going into a year that we think may be challenging at times and thereby probably also unveiling attractive opportunities for those in a position to act on them. If you add up the cash balance at the quarter end, the net proceeds from the sale of DHT Chris and the $50 million under the revolver, you get to total liquidity of some $133 million. And that is before cash flow generated in the current quarter. Switching to cash breakeven, anyone who has followed DHT for a while knows that we are keenly focused on cash breakeven. With this slide, we want to give you an update on expected cash breakeven for 2017, reflecting the sale of the Chris and the new financings mentioned. We estimate total cash cost to be some $179 million for next year. The stack bar to the left gives you a breakdown of the costs. In order to generate $179 million in revenue, the VLCCs on average need to earn $24,200 per day and the Aframaxes, $14,500 per day. However, when we factor in the revenues from the time charters, we see that the spot VLCCs need to contribute only $19,900 per day in order for the company to go cash neutral in 2017. Further, it should be noted that this number reflects the time charter book as it stands today. We do expect that we will be able to renew time charters that expire over the next few months. And if so, the cash breakeven rate for the spot ships will reduce further. So all-in-all, we think DHT is well positioned for this point in the cycle. We have an attractive time charter book, low cash breakeven, moderate leverage and ample liquidity. And with that, we are ready to provide our answers to your questions. Operator?
Operator: [Operator Instructions] We can now take the first question from Jonathan Chappell of Evercore ISI. Your line is open sir. Please go ahead.
Jonathan Chappell: Thank you. Good afternoon, guys. Just two questions for you today. So, on the new capital return policy, it sounds incredibly prudent. I actually approve of it. So, I am trying to understand the details behind it. So, who is making the decision on the spread between dividends and buybacks during the course of the quarter? Is it that the board makes a decision at the beginning of a quarter how to allocate it or does management make the decision throughout the course of the quarter on buybacks? And then the remainder that is paid to dividend is only assessed after the quarter is finished and given what you have done on the buyback program?
Eirik Uboe: I think in general, it is our board that makes these decisions. But the way we operate in DHT, this is a dynamic interaction between board and management. So when need be, we will, of course, discuss relevant details. The game plan, of course, is to have at least some idea when we move in a quarter on how this will play out. As we all know, this market also tends to move quite rapidly up and down. So you might need to make adjustments as you go about it. I think in general, I think we’ve shown good discipline in pretty much everything we execute on. So I think the market should expect that we will apply the same type of discipline in this regard.
Jonathan Chappell: Well, if we just use the current quarter as an example to help understand a little bit better, it looks like the stocks indicating pretty weak today, how much are you able to and not in a dollars basis, but would you be able to be aggressive now on the buyback, understanding that the next board meeting may not be until the 4Q results are in, in January or February? How active are you able to be on the buyback today and take from that 60% pot, or today or the next week or the next month or whatever, as opposed to just holding some back for the dividend by the time the board meeting comes around?
Svein Moxnes Harfjeld: You may recall, Jon, that in the beginning of the year, we announced as we had a $50 million buyback program in place and that’s still valid. And to-date, there has been sort of limited activity under that program. So, we certainly have the ability to go to work, so to say, on this.
Jonathan Chappell: And was that at the management level as well or do you need board approval every time you are active in the market?
Svein Moxnes Harfjeld: The board has given guidelines for the framework that management can execute under.
Jonathan Chappell: Okay, alright. I understand. I will just do one more and then turn it over. Svein, you mentioned the acceleration of some of the drydock in the third quarter, which may have been somewhat detrimental, but obviously the market’s improved since that time. Can you just update us on the drydock schedule, then for the fourth quarter and for 2017?
Svein Moxnes Harfjeld: Yes. So, the fourth quarter is well in line. The Chris that you know agreed to sell. She will be taken out of the planned drydock schedule. So it’s essentially then only one ship that will drydock in this quarter. And then we move onto next year. And we have in total 6 ships that will drydock through the year, next year.
Jonathan Chappell: Alright. Thanks for your time.
Svein Moxnes Harfjeld: Sure. Thank you.
Operator: Thank you, sir. We can now move on to our next question. It comes from Spiro Dounis of UBS Securities. Your line is open, sir. Please go ahead.
Spiro Dounis: Hi, Svein. Hi, Trygve. How are you?
Svein Moxnes Harfjeld: Good. Thanks.
Spiro Dounis: Good. I just wanted to ask about chartering you brought up in your prepared comments. I believe you have got 2 vessels coming off charter in the next 3 to 6 months. And I guess I am just wondering on the one that’s a bit on the younger side, I think around 10 years old, I think it’s the Europe, are you expecting to recharter that it sounds like, but there is the one that’s about 17 years old, I think it’s the Phoenix. It seems like that might be a candidate for sale. I am just wondering how you are thinking about that one?
Svein Moxnes Harfjeld: I think you are right. The Europe’s anniversary is by the change of the year. But in general with DHT, we tend to service customers that in general have a time charter book. And you typically extend that on prevailing market conditions. So, I think in general you should expect a ship like that could potentially continue, but at a new rate. When it comes to the Phoenix, the time charter expires end of the first quarter, but we have the index-based contractual arrangement for the same customer until her drydock in August. So, she will – she has secured employment, if you like, until August, but then at a variable rate. So beyond that, it’s too early to say what we will do with the ship. But despite her age, if you like, she is in excellent condition. Her hull is in really top integrity and her performance is very good. So, there is no such drivers to make a sale, if you like. And then you have our 2 Aframaxes that are coming off just for the change in the first and the second quarter. That ship’s design seems to be popular amongst end users. So – and we think of these Aframaxes as time charter ships. So again, we would expect to enter into new time charters on both those efforts. And if this winter market that we are now moving into presents additional opportunities given that the money is right, then I think we will also entertain entering into additional charters again given that the money is on the right side of what we like.
Spiro Dounis: Great. It’s good color. And I realized it’s probably a bit early, but how are you thinking about the IMO 2020 ruling on sulfur control? I am just trying to get a sense of when we can expect the shipping community to start to retrofit scrubbers and maybe what you believe the ultimate impact is going to be on the company?
Trygve Munthe: I think, in general, the industry has three choices. It could install scrubbers as you mentioned. It could elect to burn low sulfur fuel or it could also employ LNG as a fuel option. The latter is not really a high probability in a lot of tankers. I think when you read the IMO, there is one little caveat or one aspect on the table and it states that it will review the availability of low-sulfur fuels within 2018. And depending on the outcome of that review in 2018, it might still defer this date. I think there is still a bit of maneuvering room here for IMO. But as for DHT, I think for now it makes more sense to burn low-sulfur fuel. And you would expect that the refineries see this as a broader market and will start to turn their kits into delivering these fuel types to the market. So – and the price delta, then of what we are currently burning and the future price of low-sulfur fuel remains to be seen frankly. So, it’s a little bit hard to say. But just on this regulatory note, we should also add the ballast water treatment plants, which are some decision that ship owners need to make over the next couple of years from the drydock ships. And in the case of DHT, 10 of our VLCCs have already installed ballast water treatment systems onboard. Hence, we are not exposed to that CapEx on all our ships. And we do also have an anniversary date and waivers in place on crafts, but we don’t really have any big decision to make in this regard until 2019.
Spiro Dounis: Great. I appreciate the color. That’s it for me. Thanks, guys.
Operator: Thank you, sir. We can now move along to our next question. It comes from Magnus Fyhr of Seaport Global. Your line is open sir. Please go ahead.
Magnus Fyhr: Yes, hi. Just as a follow-up just to clarify on those water ballast treatment systems, you say the 6 ships that are going into drydock next year already have the water ballast treatment system installed?
Trygve Munthe: No, we are saying that 10 of our existing ships – or our ships have water ballast systems onboard. That is our 6 newbuildings and 4 youngest ships from the Samco acquisition built in ‘11 and ‘12.
Magnus Fyhr: Okay. So, the 6 ships that go in next year, what’s the CapEx – additional CapEx you expect on installing the water ballast treatment system?
Trygve Munthe: It’s really related to anniversary date of drydocks, etcetera. So, we are not installing ballast water treatment systems on any of the ships due for drydock next year.
Magnus Fyhr: Okay. So that’s what you say until 2019, you don’t have any requirement?
Trygve Munthe: We have one ship that we need to make a consideration on and that is the DHT Phoenix and that decision is then in August next year.
Magnus Fyhr: Okay. Shifting gears a little bit, to the charter rate – or the spot rate was a little bit lower than expected during the quarter. I know it’s hard to draw any conclusions on timing differences between quarters to quarters. But with the rates moving up here, do you have more? I mean, if you gave kind of percentage of ships that are turning in the second half of the fourth quarter, would you say you have majority of your ships that are available to, I guess, fix at higher levels?
Trygve Munthe: I think as we said, just under 50% has been secured at the rates we mentioned. And if you take this very moment, spot rates are hovering around the $40,000 a day level. So anything we fix today will certainly pull up the average for the quarter.
Magnus Fyhr: Alright. Okay, good. That’s all I had. Thank you.
Trygve Munthe: Thanks.
Operator: Thank you. We can now move along to our next question. It comes from Herman Hildan of Clarksons Platou. Your line is open sir. Please go ahead.
Herman Hildan: Good afternoon, guys. I got on a bit late. But did you provide color on why – on the spot performance during Q3?
Trygve Munthe: Yes, we did. And as we said coming out of the second quarter, our tactic was wrong as we then elected to fix shorter voyages. So, that didn’t pay off really, but we then took advantage of the weakness in the market and advanced drydocking to some of our ships. So, all these ships are now available, of course, in a much healthier market environment in the fourth quarter, but that did negatively influence our performance in the third quarter.
Herman Hildan: Okay, thank you. And then on the refinancing of the RBS facility, obviously, it’s impossible to think that you get, call it 50 – or roughly 50% leverage on vintage tonnage on competitive margins. But the other perspective also from the lending side is that the number of months of the loan is basically equal to the scrap value of the ships. And the question is why would you kind of amortize a loan where that – call it scrap value rather than having a non-amortizing loan, which amortizes down to 50% of scrap by 2019?
Trygve Munthe: If I understood your question correctly, Herman, you are asking way we refinanced it, is that it?
Herman Hildan: No, no, no. I mean, it – the scrap value of 2 VLCCs and 2 Aframaxes are, call it, a rough $40 million, which is the same as the loan. And the question is why would you amortize on the debt when the nominal initial amount of the loan is equal to the scrap value of the ships? It seems to be a bit on the conservative side. I was wondering….
Trygve Munthe: I don’t think a bullet loan was available at these type of prices if that’s more an answer to your question.
Herman Hildan: Yes, it is.
Trygve Munthe: Now, if you wanted a bullet loan, I think it would be a totally different pricing, so yes.
Herman Hildan: Yes, that’s a good answer. And then also on the new facility, the $50 million that you secured, I assume that, that comes through with some, call it, pledge in either of the 3 vessels that were unencumbered in Q2. Could you confirm what those vessels were?
Trygve Munthe: Yes. As we said in our remarks, it’s secured by 2 vessels. It’s the DHT Amazon and the DHT Europe.
Herman Hildan: Okay, thank you. And then the final short question, DHT Tiger obviously due for delivery in Q4, it’s still expected to take delivery in Q4 and could you – if yes, could you say when you expect to take delivery?
Trygve Munthe: We still expect to take delivery of the ship in the fourth quarter.
Herman Hildan: Okay. But no more precise date, whether it’s December or – okay. Well, thank you very much guys.
Trygve Munthe: Thank you.
Operator: Thank you. We can now move along to our next question. It comes from Fotis Giannakoulis of Morgan Stanley. Your line is open. Please go ahead.
Fotis Giannakoulis: Yes, hi guys and thank you. As you know, there are certain concerns the last few days about oil demand, and that has moved the entire sector lower. Can you give us your take on – based on the volume that you move and the number of fixers that you have seen since the beginning of the year? How does this compare versus 2015, if you see any increase and if you can estimate how the demand is moving and especially if you have seen any major changes in the last 3 months?
Trygve Munthe: We think that demand for tanker transportation has been healthy and robust in 2016. We think the underlying oil demand or oil consumption globally is moving in the right direction and pretty much according to expectations. I think factors behind the weaker third quarter is really the disruptions in the Atlantic Basin where we saw exports out of West Africa and to some extent, our Latin America was disappointing compared to where it’s been in the prior quarters. With some of that back on stream, we are certainly enjoying better rates today. But as has been touched upon on many calls, we are in the midst of a pretty heavy delivery program on newbuilds. So that is certainly weighing in on the fundamentals as well.
Fotis Giannakoulis: So, you do not see any issue in demand? Demand, you believe, it’s growing. Can you also comment about what is the availability of vessels in the two basins? How many vessels of surplus we have in the Middle East? And also what is the situation regarding congestion that we had before? It used to be an important driver for keeping the market at very high levels.
Trygve Munthe: Again, I think in the third quarter because of the outages in the Atlantic Basin, more VLCCs than normal were heading towards the Middle East. So, you saw the 4-week count getting into triple-digits, which is not exactly a bullish sign and it wasn’t until the Atlantic came back on that some ships were going that direction instead. And all of a sudden, you see 4-week count down in the 70s and 80s. And that’s important for the recovery that we have seen in rates.
Svein Moxnes Harfjeld: And maybe also it’s fair to add that you should see there is a distinction between demand for oil transportation and demand for oil. And over the past couple of years, of course, you have seen inventories growing and that has supported the demand for oil transportation. If that trend is not reversing, but saving off a bit, then the general demand for transportation might not grow at the same pace, but still grow in accordance with growth for oil demand.
Fotis Giannakoulis: In my last question, it ties more towards the product tanker market. We have seen that product tanker rates, they have underperformed even the weaker third quarter for crude tankers. You have a number of newbuilding vessels that you took delivery recently. Can you tell us if the first voyages of your vessels, they were taking products, if this is contributing at all in the product tanker weakness? And what are the requirements to go from product to crude and crude to product?
Trygve Munthe: You are right. You have seen a number of newbuildings this year picking up gas oil in particular and then taking it to the Atlantic Basin. And of course, these big ships, they are coming out of the yard, they are clean in the tanks. They are able to take these clean products or refined products. This is the first voyage phenomena. So, once you then go back, go to dirty, there is no cleaning procedures as such, but you are not going from dirty back to clean. So these tanks are not coated. So, these ships are not really built to carry refined products. We at DHT have not entertained these first gas/oil voyages when the ships are new, because they typically also involve a fair amount of storage or idle operation at the other end. And with a new ship with an eco-design and brand-new painting and all that, we want to expose – have a minimum exposure, if you like, to hold growth or falling that will pull back the performance of the ships. So we are not really done – we are not done any of this.
Fotis Giannakoulis: Thank you very much for your answers.
Operator: Thank you, sir. We can now move along to our next question. It comes from Mike Weber of Wells Fargo. Your line is open. Please go ahead.
Mike Weber: Hey, good morning guys. How are you?
Trygve Munthe: Good. Thanks.
Mike Weber: Just a couple of questions. I wanted to jump back to – I guess it was an earlier answer around the guidelines for the distribution policy. And I think you mentioned that there was just some board guidelines associated with how you guys can execute on a buyback. It’s not hard to imagine a scenario where rates improve, equities lag and you guys are left with a fair amount of capital to play with and to deploy. So, can you give us a bit of color around what those board guidelines are in terms of how assertive you guys can be with the buyback within the framework of that new policy?
Svein Moxnes Harfjeld: Well, there is no guidelines beyond what we have stated, but in our quarterly financial reports we will then update on what we had been doing in the preceding quarter.
Mike Weber: Okay, alright. So, we can just track it via a normal authorization I would imagine. Alright. I guess just one more and you have already kind of touched on this a bit, but around the idea of fleet replenishment. Given your old rate outlook and I guess the longer term optimism in the space, the idea is behind older assets, it seems like it made more sense to acquire older, cheaper assets at a steeper discount than on an asset basis than you necessarily see on rate. You guys are replenishing your fleet kind of with the contrary. And I am just curious how much of that fleet replenishment program is driven by servicing your client base versus the value prop necessarily that you guys see for older assets call it kind of 13 years old and beyond? And then I guess within the context of that buy and sell decision within that older asset base, are the environmental factors you mentioned earlier in terms of the scrubbers, in terms of ballast water treatment, is that actually having a tangible impact right now in terms of your divestment decisions around those assets or is that still too far out in the future and you’ve got broader economics that are staring you in the face that are a bit more immediate?
Trygve Munthe: I think that’s a relevant question, Mike that if you had a 15-year-old ship fresh out of their special survey, it’s only about 2.5 years until you got it going to drydock again. And under the current regulations, you are obligated to put in a ballast water treatment plant to the tune of a couple, $2.5 million or so for VLCC. And it becomes a bigger hurdle if you are going to actually do that or if you are going to sort of recycle the ship at that point. So, it’s an additional uncertainty factor for how you are going to run your discounted cash flow models on an older ship.
Svein Moxnes Harfjeld: I guess, you can argue that the pricing on the ships and their older spectrum is somewhat efficient, because there is some CapEx uncertainty, right. And then that’s already taken into account by people, so...
Mike Weber: Right. And I guess – I guess what I am asking is the decision to sell an asset this past quarter and any future decisions to kind of renew the fleet. And maybe even within this calendar year that forward CapEx associated with those environmental regs, is that a – is it still sounds like that’s kind of out kind of in the distance and it’s an uncertainty factor, but the current value prop is still driving that decision? You are not able to put a number or you are not actually putting numbers around what the costs are associated with ballast and with the scrubbers in terms of the economic decision to sell that asset?
Trygve Munthe: We are not putting any explicit price tags on any assets out in the market as such, but we had an opportunity to retire the Chris from the trading fleet now at what we think are market value more to the CapEx. So that $2.5 million on the CapEx had to be added on the sales price, if you like, to get a par-for-par comparison. We are in general open to opportunities at any time in the market for anything. But we look at value where we think we can position – best possibly position the company. So, we are not kind of displaying particular ships or targets or prices in a loss.
Mike Weber: Yes. Okay, that’s helpful. Thanks for the time, guys.
Trygve Munthe: Thank you.
Operator: Thank you. We can now move along to our next question. It comes from Ben Nolan of Stifel. Your line is open sir. Please go ahead.
Ben Nolan: Yes, thanks. It’s been a long call. I will be quick. First of all, on the new capital distribution program, I take it to mean that in terms of buying back securities that could be either the equity or converts is that correct?
Trygve Munthe: That is correct.
Ben Nolan: Okay. And then my next question relates to the impairment charge that you took in the quarter. How do you – I guess would you categorize that as now in your view the book value of your assets is fully reflective of the current market value of the assets or how closely do those two things marry? And is there any risk or possibility that there might be further impairments down the line at some point?
Eirik Uboe: The IFRS requires that you used higher value in use, which is in essence the discounted cash flow value or the market value. So as we said in our opening remarks, if you look at our leverage on book values, we are at basically 50%. And if you adjust for market, broker market assessments, we are at 54%. So, it’s not – it’s a very significant difference between broker values and book values at this point.
Ben Nolan: Okay. And then lastly for me, with respect to the vessel that you sold for – into floating storage that you said or to be converted into storage, I’m curious, what’s the depth of that market? I mean, how often do those opportunities arise to be able to sell an older vessel for the use of storage relative to just scrapping? And I mean, is that – and what – are there specific requirements that the vessels would need to have in order to be suitable for that sort of thing and do your vessels meet those criteria to the extent that they exist?
Svein Moxnes Harfjeld: I think year-to-date, you have a good handful of ships being sold for these type of projects. There is typically Asian operators that store products for them distribution in their local markets. I think yes, there are some particular features on ships that make them more suitable for these projects than others. And not to bore you with too many technical details here, but for instance, that the ships have got two boilers rather than one. Most of the Japanese ships that we typically see sold in the second market, they have one boiler. All our ships have got two boilers and as such, they meet those criteria. Secondly, buyers would prefer ships that have coating on the tank top and underneath the deck, as these are areas that typically are exposed to corrosion. So with that type of coating, you are better positioned and you avoid steel renewals and so forth for commercial projects. All our ships have coating on the tank top and underneath the deck, so as such again they meet the typical criteria of these type of buyers. So, we still see some of these operators out there sniffing around inspecting ships. And so I would not be surprised that we see another handful of ships maybe going in the next 12 months also for same type of business.
Ben Nolan: Okay, that’s perfect and nice answer. Thank you.
Operator: Thank you, sir. We can now move along to our next question. It comes from Robert Silveira of Silveira & Associates [ph]. Please go ahead sir. Your line is now open.
Unidentified Analyst: Good morning, gentlemen. First of all, I would like to comment that you need some serious caution. The trading pattern on your stock yesterday shows strong indications that information leaked out. And by that I would say it opened at $4.14. It shot up very quickly to $4.40 that’s almost a 10% move. And then by the end of the day, it made a new 52-week low at $3.98 and all of this volatility on the day that you are going to announce earnings after the close. These kinds of things attract a lot of attention to the SEC, etcetera. And you say in your presentation you want to be a respected company. That’s one of the factors that’s very important obviously. Anyhow, let’s go on to another question. The percentage of ships you now have on long-term, what is that number?
Svein Moxnes Harfjeld: We currently have 8 ships on fixed income, 6 VLCCs and 2 Aframaxes.
Unidentified Analyst: Okay. What do you consider an ideal percentage looking ahead at the market for the next 12 months of ships on long-term contract for the business?
Trygve Munthe: As we have said numerous times, for us, it’s about holistically. It’s about the numbers you can obtain the quality of the counterparty and so forth. So we don’t have a specific ratio of our fleet that we would like to see fixed on time charters. When the market was healthy, we secured the business that was available to us at what we thought was attractive rates. Had there been more charter opportunities at those type of rates we probably would have done more. But since then, the market has moved and the rates aren’t quite as attractive as they used to be.
Unidentified Analyst: Right. The percentage of ships that are not in drydock that you have, but are on the water working what percentage is that and what percentage are idle at any given time on average for you?
Trygve Munthe: I think currently all our ships are basically operating. We had 4 ships in drydock for a period, so say up to 30 days in the third quarter. And we have 1 ship that we will drydock during this quarter. But if you look at the front page of our quarterly results, you will see 2 lines, one saying unscheduled off hire, which are minor issues over time that not permit to ship to trade. And these percentages are, as you will see, all well below 1% of our capacity. The next line you will see, scheduled off hire and that is drydocks that is planned for. Yes.
Unidentified Analyst: Right. I am just curious on any given day you generally have 95% of the ships active in employment, so to speak, in the spot market.
Svein Moxnes Harfjeld: Yes. I mean we never really have – we don’t really have idle ships. Ships are trading all the time so...
Unidentified Analyst: Okay, good enough. Just what do you feel right now in the marketplace is the scrap value of your type of ship, your average ship?
Trygve Munthe: Sure. This is reported widely in all kinds of reports. The rating paper lightweight ton today is about $300. And a VLCC weighing some 42,000 lightweight or thereabout; that gives you a value around $12 million mark. But I think this call has been going on for some time. I think operator, we need to move on to the next….
Unidentified Analyst: Well, wait a minute. You said then that the average scrap value would be about $12 million per vessel?
Trygve Munthe: Right.
Unidentified Analyst: And currently our stock is bid $3.42. That puts – figuring only 21 ships that puts us below $5 million per ship with the number of shares we have outstanding. I would say then that you said that you are open for stock buyback. It looks like an ideal time with the prices of stock in the early market bid at $3.42. Would you agree?
Trygve Munthe: Well, as we have stated, we have updated our capital allocation policy and this 60% includes buying back our securities, be it our convertible bond or the common. So the company will pursue this and act on this policy and we will report quarterly on this activity.
Unidentified Analyst: Right. Because now the market is valuing our ships at less than $5 million apiece, that’s pretty [indiscernible].
Eirik Uboe: Excuse me, sir, but we are not privy to the detailed math that you have in front of you. We are happy to take this offline with you yourself. So you may contact the company if you want to go through your model with us separately. But then if we could move on the call, operator, with all due respect.
Unidentified Analyst: Sure thing. Okay, thank you very much.
Operator: We can now move along to our next question. It comes from Noah Parquette of JPMorgan. Your line is open sir. Please go ahead.
Noah Parquette: Actually, all my questions have been answered.
Operator: We have no further questions at this point. [Operator Instructions] So, I would now like to hand the call back to the speaker for any additional or concluding remarks. Thank you.
Eirik Uboe: No, we just thank everybody for your continued interest in DHT. Thank you and have a good day.
Operator: That will conclude today’s conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.